Operator: Greetings. And welcome to the Triple-S Second Quarter 2018 Earnings Call. [Operator Instructions] It is now my pleasure to introduce your host, Garrett Edson, Senior Vice President of ICR. Thank you, Mr. Edson. You may begin.
Garrett Edson: Thank you, Gerry, and good morning. Welcome to the Triple-S Management second quarter 2018 earnings conference call. With us today are your host, Bobby García, President and Chief Executive Officer of Triple-S; and Juan José Román, the Executive Vice President and Chief Financial Officer. In addition, Madeline Hernandez, Chief Operating Officer and President of Managed Care, will be available during Q&A. By now, everyone should have access to the earnings announcement, which was released prior to this call and which may also be found on the company's website at triplesmanagement.com. Before we begin formal remarks, we need to remind everyone that each quarter, Triple-S Management executives will provide their current view of the company's future, and thus, they will be sharing forward-looking information. These statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, actual results may differ materially from such forward-looking statements and what you hear on today's call. These statements are not guarantees of future performance and, therefore, undue reliance should not be placed upon them. For further information on factors that could impact the company and the statements and projections contained herein, please refer to the safe harbor section in today's news release and the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. In addition, this call is being webcast and an archived version will be available shortly after the call ends on the Investor Relations portion of the company's website at www.triplesmanagement.com. If you cannot download a copy of the release, you can contact us at 787-792-6488 and we will get one to you immediately and can add you to the distribution list moving forward. With that, I'd now like to turn the call over to Bobby García. Please go head.
Bobby García: Thanks Garrett, and good morning everyone. Thanks for joining us today as we review our results for the second quarter of 2018. The second quarter stood out in several ways. We continued making strides in our strategic transformation. We submitted what we believe will be a very competitive product offering for the 2019 MA enrollment season. We were selected as one of five participants to enter the final stage of the Puerto Rico government Medicaid bid and we welcomed two key hires to the Senior Executive team. Notably and unfortunately however, the second quarter was also impacted by an unfavorable prior period reserve development in our property and casualty segment. As a result, we recorded a loss per share of $1.68 versus diluted earnings per share of $0.52 in the prior year period. Adjusted net loss was a $1.62 per share compared to adjusted diluted earnings of $0.39 per share a year ago. Excluding the prior period reserve development in the P&C segment, we would have recorded adjusted diluted earnings per share for the quarter of $0.44 driven by continued improvement in our underlying businesses. Total operating revenue was $763.1 million up 3% from a year ago reflecting improved premium trends in our Managed Care segment specifically with respect to Medicare Advantage and Medicaid. We also continue to see improved MLR in the Medicare Advantage and Medicaid businesses. Juan José will provide more color on our financial performance for the quarter shortly. He will also give some specifics on the financial impact of the P&C reserve development. But first, I'd like to take a few minutes to address its timing. It is important to remember that Hurricane Maria cause unprecedented catastrophic damage in Puerto Rico including islandwide electric power water outages, as well as severe damage to Puerto Rico's telecommunications and transportation infrastructure that took months to restore. During those months, we used a globally recognized post-landfall catastrophe model as the primary source to estimate gross losses. The use of cat models to estimate losses until actual damages can be accurately estimated, it is common practice in the insurance industry for events of this magnitude. By the end of the first quarter this year, neither the cat model, nor data we had received since landfall warranted an increase to our estimated gross reserves. However, as loss information continued to emerge during the second quarter, we updated gross reserves to reflect higher loss expectations for this event. The vast majority of this information consisted of amendments and other new information related to existing commercial property claims that requires substantial increases to their previously established individual case reserves. As a result, aggregate gross reserves exceeded the estimates generated by the cat model we had been using in prior periods, as well as our catastrophe reinsurance coverage limit. We believe the delay in the submission of information by claimants and adjusters resulted from the difficulties they have had in performing site inspections, preparing estimates and delivering claim reports while also addressing their own basic needs and the hurricanes aftermath. Also because Hurricane Maria occurred within a month of Hurricane Harvey and two weeks after Hurricane Irma which both severely impacted the southern portion of the United States, many independent adjusters were not available until several months after Hurricane Maria impacted the island. In our view, this shortage of outside resources also contributed to the delay in inspections and preparation of our estimates. Given the amount of tangible data with respect to claims paid and adjusters reports we have received during the second quarter, we can now establish specific and bulk reserves for unpaid claims rather than relying on model projections. And despite the unfavorable reserve development, the underlying business of the property and casualty segment is performing well. Moreover, because the unfavorable development is related to a 2017 event, it does not consume coverage from the 2018 reinsurance program. As a reminder, we reviewed our property and catastrophe reinsurance program effective April 1, 2018 for the following 12 months increasing coverage from $733 million to approximately $915 million. These figures include the company's retention of $10 million per event. With this increase we are now protecting the company for losses caused by a catastrophic event with a probability of recurring once into 200 to 250 years and we meet standards recently adopted by rating agencies for A rate companies. In comparison, local regulations require protection for events with a probability of recurring once in 100 years and when Hurricane Maria struck last year, our reinsurance program covered a probability of events recurring once in 160 years. Another protective measure we've taken against future catastrophes is to reduce the total insurance value of our commercial portfolio by 30% from $18 billion to $11.5 billion by revising our underwriting strategies. While the second quarter's results were clearly impacted by this event, I want to stress that the reserve development has no impact on our Managed Care performance, nor on our long-term growth strategy. We are still fully committed, sharply focused and delivering well against those plans. As a reminder the first part of the strategy is to win and retain Medicare Advantage business with a more attractive, competitive product offering. Though we continue to see a slight membership decline during the second quarter, we were pleased to see what appears to be an inflection point in our membership beginning in June. This is carrying the third quarter as we saw membership growth slightly in July and we expect to record a third consecutive month of membership growth for August. This increase is being driven by the dual population which can enroll throughout the year. We're actively implementing various go-to-market strategies with our more competitive 4-star HMO products to maintain the strength. In addition, the improvement we are beginning to see in membership, Medicare premiums continued increasing on a year-over-year basis in the second quarter. Including the 5% bonus applied to the premium benchmark we recorded a 12% increase in premium rates from the prior year period. This increase along with our clinical and contracting initiatives also contributed to another quarter of improved Medicare MLR. Looking ahead, in June we submitted what we believe is a very competitive MA bid for 2019 and we are preparing for what we hope will be a solid annual enrollment period. We continue pursuing a balanced approach to membership growth and margin by improving benefits consistently over time while investing in clinical and contracting initiatives, as well as provider and member engagement platforms. Along those lines, we noted on our last call that we have issued a request for proposal to potentially consolidate our PBM. During the second quarter, we carefully evaluated our options and are now in the final stages of the selection process. Importantly, Triple-S has been able to leverage its leading market position in Puerto Rico to better manage the programs costs. The new arrangement is designed to promote collaboration between the clinical and pharmacy programs enabling earlier care intervention in targeted member populations. We expect to make a decision by the end of this month and transition to the selected PBM by January 2019. We’ll provide further details once the contract is awarded and executed. The second part of our strategy is to selectively integrate downstream most notably through the expansion of our ambulatory clinic network so as to provide an additional platform to improve medical access costs, quality and outcomes across our Managed Care businesses. This network is also meant to support and complement key provider partners. On our last call we noted that we had three standalone clinics and two workplace clinics in operation as of early May. Since that time, we've entered into an agreement to acquire majority ownership of two more. We will continue to update you on our clinic network's progress and as the network grows, we will begin to provide more detail about how we plan to integrate it into our overall operations. The third pronged of our strategy is focused on a digital transformation to provide members, customers and providers with improved service at a lower cost. A key component is the Optum partnership we announced in the third quarter of last year. We are on track with the transition of our claims processing IT function [stopped], and continue deploying member and provider engagement tools as elements of this strategy. Beyond our three-year - our three-pronged growth plan rather, I also want to provide an update on the Puerto Rico government's RFP to implement a new Medicaid model. We have participated in Puerto Rico's government health plan since its inception. We know this population well and this population knows us well, since we are the only health plan that has served the entire island, went from 2013 to 2015 we administered all eight regions under a TPA arrangement. We were therefore quite pleased when in early July we received notice from ASES that it selected our Managed Care subsidiary Triple-S Salud as one of five companies to participate in the revised program. Contract execution is expected later this month. Under the new program which is scheduled to go live in November 2018 for a three-year term, we would compete islandwide for membership and participate in two separate risk pools, a general population pool and a high cost high need pool. Beyond the three-year term, ASES retains an option to extend for an additional year while premium rates will be negotiated for each contract year. Finally just a quick update on government affairs and the ongoing Puerto Rico restructuring. At the end of June the financial oversight management board certified a new version of the island's fiscal plan. Because of the government's failure to enact labor reforms, money set to be available for the government was cut from $40 billion under the previous version of the fiscal plan to $14 billion. The government and oversight board continue to differ materially as to how the island's budget and fiscal plans work together. As a result the Government and Legislature recently filed suit against the board over the fiscal 2019 budget. Additionally bondholders are attempting to negotiate a settlement that will allow for senior and subordinated sales tax [fact that] to be serviced which would take care of restructuring approximately 25% of Puerto Rico's outstanding funded debt. All in, we expect the entire restructuring process has a long way to go and we will continue to watch developments closely and update the market as events warren. Now I’ll pass halfway point in 2018. We are maintaining most of the full-year 2018 directional guidance we provided in our last call but our revising our Medicare Advantage enrollment figures for the full year. For our commercial business we continue to expect full-year at-risk member month enrollment to be between 3.7 million and 3.8 million and MLR for the full year to be between 80.5% and 82.5%. In our Medicare Advantage business, we now expect member month enrollment between 1.25 million and 1.35 million, a revision from our previous expectation of member month enrollment between 1.35 million and 1.45 million. Full-year MLR expectations for 2018 in the segment remained between 85% and 87%. Life insurance premiums earned for 2018 are still expected to be between $160 million and $164 million, while property and casualty premiums earned for 2018 are still expected to be between $82 million and $86 million. Finally we continue to expect consolidated operating expenses for full year 2018 to be between $530 million and $545 million primarily reflecting the reinstatement of the HIP fee. To sum up, outside of the isolated reserve involvement in P&C all our businesses are progressing well. We continue to see solid increases in our Medicare and Medicaid revenue, while our MLR rates continue to improve. Despite the reserve development, we remain very well capitalized and our three-pronged growth strategy remains on track. Juan José will now provide you with more specific financials by business segment. Juan José?
Juan José Román: Thank you, Bobby, and welcome to everyone on this call. I am going to discuss our second quarter results emphasizing the results of our Managed Care segment and the claims development of our property and casualty segment. As Bobby mentioned, our results this quarter reflect continuing improving our Managed Care segment but were negatively impacted by unfavorable prior period reserve development in the property and casualty segment. I will discuss the development in a moment but first let me discuss the Managed Care quarterly results. In our Medicare business, earned premiums were 5% higher than last year largely reflecting the increasing the investment-grade for Puerto Rico in 2018, an increase in premium rates related to the 4-star ratings we achieved for our 2018 HMO product and an increase in the risk score adjustment, as well as higher average risk scores. These increases were offset in part by a decrease in member month when compared to last year. Medicare MLR of 88.4% improved 250 basis points from last year's second quarter. Excluding the impact of prior period reserve development, and moving risk score revenue to its corresponding period, the Medicare MLR would have been 89.4% to 130 basis improvement from the prior year period. The lower adjusted MLR mostly reflects higher average premium rates in this business offsetting part by increased utilization of services as a result of the waivers of the pre authorization the requirements mandated by CMS following the impact of Hurricanes Irma and Maria. This waiver was in place until June 15, 2018. Increases in our Medicaid earned premium of 6.3% were mostly the result of higher membership and premium rate, as well as 4 million associated with earnings payment of the HIP-fee pass-through following the 2018 moratorium. The increase was partially by the timing of correlations related to the company's achievement of quality incentive metrics. In the second quarter of 2018, the company received one quarter worth of collection which is normal and what we expect to receive on a go forward basis. In the prior year period, we received three quarters worth of collection. All in, there was an 8 million decrease in collection of premiums from the prior year due to this timing consistency. Our Medicaid MLR was 88.5%, a 180 basis point improvement compared to last year. Excluding the impact of prior period reserve development, and moving the quality incentive premiums to the corresponding periods, the requested MLR would have been 89.4%, an improvement of 520 points compared to last year. The improvement in the Medicaid MLR was mostly due to the increase in premiums and certain cost containment initiative. In our commercial business, earned premiums were 4.2% below those of last year mostly due to lower fully insured membership partially offset by 3 million related to the reinstatement of the HIP-fee pass-through in 2018. The lower enrollment has been largely driven by accretion within existing accounts reflecting the protracted witness in the Puerto Rico economy, as well as the loss of two government accounts. Our commercial MLR of 80.2% improved by 40 basis points year-over-year. Excluding the impact in both periods of prior period reserve development, the requested MLR would have been 84.7%, 370 basis points higher than a year ago. The higher adjusted MLR mostly reflects the impact of an early Easter holiday in 2018 shifting some utilization from the first quarter to the second quarter, as well as normal increase in claim insurance. The Managed Care segment operating expenses were 15 million from a year ago. The increase reflects a 12 million increase from the restated HIP-fee and higher professional services and personal cost related to our ongoing operational and clinical Managed Care initiative. Let me share some comments on our Life and Property and Casualty segments. Life insurance premiums were up 3.5% from last year primarily reflecting premium growth in the segments individual line of business. The segment operating income was 5.3 million, 300,000 higher year-over-year reflecting a higher volume of business. As we mentioned, our property and casualty segment reported this quarter an unfavorable prior period reserve development from losses related to Hurricane Maria. This increase estimated gross losses of this even by $212.7 million from $686.7 million as of March 31, 2018 to 899.4 million as of June 30, 2018. The significant worsen of the loss expectation from Hurricane Maria during the second quarter crossed the segment to exceed its catastrophe and catastrophe reinsurance coverage of $823 million which includes the $733 million catastrophe coverage and $90 million catastrophe reinsurance. As a consequence, additional claims incurred related to these events amounting to $76 million were recognized in operation causing a swing in the segments quarterly financial results from an operating income of 5 million to an operating loss of 71 million. As is the case for all claim liabilities, the gross losses related to Hurricane Maria as of June 30, 2018 are based on our base estimate of the ultimate expected loss of claims with information currently on hand and are subject to certainty. As of June 30, 2018 our balance sheet reflects approximately $543 million within claim liabilities, as a result of paid estimated gross losses related to here against Irma and Maria, as well as $476 million within premium and other receivables because of catastrophe related losses recoverable from reinsurance. As of July 31, 2018 we have received about 16,850 claims related to Hurricane Maria with estimated gross losses of $899.3 million and have paid approximately $390 million. Returning to our overall results, consolidated income tax benefit was 27.9 million compared to an expense of 1.5 million in the prior year period primarily reflecting the unfavorable reserve development recognized by the property and casualty segment. Total cash and investment of the company level was $60 million as of June 30, 2018. Although we are obviously disappointed with the results this quarter, we believe that the underlying business in each of our Managed Care, Life and Property and Casualty segments remains sound and our overall long term growth strategy we have noted in prior calls remain unchanged. We will now proceed to our Q&A section. Operator, please open the call for questions.
Operator: [Operator Instructions] The first question is from Mr. Peter Costa, Wells Fargo. Please go ahead, sir.
Unidentified Analyst: Good morning everyone this is [indiscernible] for Peter Costa. I first wanted to ask about the reserve development in the quarter. In press release you guys have mentioned that it’s really the time that you’re facing reserve on actual data versus mora. How do you know that this won’t get worse especially as you get more actual data in the coming months and quarters?
Juan José Román: This is Juan José. So we see we have we establish our reserve with all the information we have on hand as of today. So it reflects our best estimate since this is a reserve there is always uncertainty. However, what we need as part of our closing we went through for example we went over our top 100 accounts which represent around 30%, 33% of all our whole block of business and are certain that for all of them we have received a claim. With this we were trying to make sure that we have the universe of all the major accounts already in the house. In addition for those 100 accounts we also review their reserve vis-à-vis our own adjusted reports or with also the adjusted reports received from the customers. So probably that’s way - the more significant difference that as of today the majority of our top 100 accounts already have readers a report 5 by the adjusters that’s what the make the big difference vis-à-vis previous quarter. Second as of today we have closed around 82% of our claims. Clearly that 18% reminding is a major account is smaller number in term of number of claims but usually are the biggest account or the major exposure. We also review every claims over $1 million again just to ascertain that we have a report so we can revaluate if the reserve were adequate or we updated the reserve. Lastly for all other smaller claim we establish a bulk reserve base on data experience. So because especially for a small cases we have paid a significant amount so far - will actually to estimate a bulk reserve for those orders more claims that we have on hand. So there is always some certainty at least at this moment we were able to actually to do and look at our universe but most importantly today we have received a majority of the report from the adjusters ours or the claimant adjusters and that is what allow us to actually establish a more - a accurate reserves.
Unidentified Analyst: And then a question sort of around capital level for the business given the reserve development. Is there any concern around capital levels there or is there a need to inject capital into that business?
Juan José Román: No, obviously as you said it will have an impact on the capital at that company level right. The P&C company is a separate legal entity, a insurance company separate from the Managed Care of other companies of the group. So for that company specifically, there will be impact - as we have this cost before we have excess capital. So these over reserve will reduce our capital it's early, we’re doing our evaluations, our estimate today is that the RBC probably will be slightly lower the statutory required RBC of 300. But it’s still early and we need to evaluate what the final numbers are.
Unidentified Analyst: Maybe we can switch gears and talk about the Managed Care segment. Operating earnings in that segment seems to be lower than what we were expecting and it’s down year-over-year versus last quarter a year ago. Was wondering if you could comment on any potential weakness there?
Juan José Román: Yes, mostly when it was noted really was in the commercial business right. When you compare recasted MLR for MARKET, as well as for the Medicaid business both improved for the quarter as compared to last year's quarter. In the case of commercial specifically, we saw a slight increase in the MLR and that's why as compared to the previous quarter in the Managed Care you see a slight increase there. And this one mostly reflect a change in the Easter holiday. So that change we estimate could represent around 150 basis points more or less as compared to the previous year.
Unidentified Analyst: 150 basis points impact on the MLR?
Juan José Román: On the MLR on the commercial business, so most of that change is really a timing difference versus last year.
Unidentified Analyst: Okay.
Juan José Román: And that's mostly really what impacted this quarter obviously our expectation - we will not have that situation for the next quarter.
Unidentified Analyst: And then on the Medicaid the new contract that expected to start in November, can you comment any expectations do you have there in terms of members and profit that you would expect?
Bobby García: I'll take that question. The expectation of membership is tough to calculate at this moment because there are five entities that have passed into the last round. And the government has not indicated what algorithm it will use to assign initial membership. So if it were to say use a formula, a size 1.2 million, 1.3 million current members equally among the five will just do the math its around 250,000 per entity. However, in the way that RFP works, you could get an overweight of membership if you meet certain pointing criteria during the - as part of the RFP that was provided, it was not made public I believe. And so we cannot provide that information at this point but bear in mind also that there is an open enrollment period for the first three months following that initial auto assignment. So that's where we'll have the opportunity to market ourselves and gain additional membership in competition with others across the entire island that’s one of the main differences in this model.
Unidentified Analyst: So initially if you were to assume that you sort of maintained your current level of membership, is that a fair assumption to start off with or could it be higher or lower?
Bobby García: We have 400,000 right now. Again if you just do that simple math, its less than that it’s about 250. And at this point, we do not know how the government will sign. So, if some of those that are with us now may want to stay with us and then they would have to actively dis-enroll from their assigned provider and then move back to us during that period. But if the algorithm which will probably be the case works differently, our membership could go up, it could go down. At this point it's just not known to you or to us.
Unidentified Analyst: My last question and going back to the hurricane, in this release you guys talked about some 133 million catastrophe reinsurance coverage limit, is that in the past you had mentioned some 150 million. So can you help me sort of understand the discrepancy there?
Juan José Román: Yes, so we have at the catastrophe coverage so the gross losses include all our losses including accounts that have qualitative reinsurance. So in total we have $812 million of reinsurance which is split between $733 million of a specific catastrophe reinsurance plus and over $90 million of accounting. So probably Polly the difference is really the catastrophe reinsurance that we’re mentioning now because of the gross losses include accounts with catastrophe reinsurance do that clarify?
Unidentified Analyst: That helped. That's all the questions I have. Thank you very much guys.
Operator: Our next question is from Samir Khare, Capital Returns Management. Please go ahead sir.
Samir Khare: I have a question about the P&C business with respect to Irma. I was hoping you can give the average severity you're assuming for each of commercial lines and personal lines?
Bobby García: Commercial separate from personal?
Samir Khare: Yes, that’s right.
Bobby García: We’re not providing that detail at this point. You mean on - and just to make sure that see if we could answer your question you’re talking about the severity of plans being percentage of accounts that have suffered damage or dollar amount or what kind of…
Samir Khare: A dollar amount basically I mean I guess…
Bobby García: Claim dollar amount.
Samir Khare: Yes, I guess I mean not the $900 million of those losses, I think you said 16,000 or so claims that gives me the total severity I could calculate from that but I was wondering if you could give that detail by commercial lines and personal lines broken down?
Juan José Román: Yes, exactly. So in total you’re right - that’s the calculation. Overall our commercial policies in term of number of accounts is what I have with me is - 5,000 to 6,000 of the total of 16,800. So in term of accounts the majority are personal or dual.
Samir Khare: And are you looking at the total amount of commercial lots that you experienced dollar wise?
Juan José Román: I don’t have that detail.
Samir Khare: Okay.
Bobby García: But in the aggregate, do we have that number Juan José.
Juan José Román: I don’t have that number.
Bobby García: Okay I got it.
Samir Khare: And our business interruption losses coming in as expected or is that an increasing part of the commercial I guess development?
Juan José Román: Business interruption claims as of June vis-à-vis 9% of the total, maybe as we mentioned before that many of the commercial accounts that actually do not have business interruption. And others a good portion of our portfolio also is government accounts that doesn't have business interruption. So in term of the account of claims received of the total claims that 16,000 around 9% of those actually came with a claim related to business interruption.
Samir Khare: And as you look at business interruption losses what are the main factors that you consider to kind of decide the ultimate severity of those business interruptions. And then I guess most of the business interruption claims behind you at this point, or are they still many kind of in development?
Juan José Román: So for many of those major accounts I mentioned before 100, most of them has submitted already their claim but those are under review right if those take a little longer to determine what is the real number right. Because the number so it is a review – it's a little review of the financials and what the net impact of their losses. So but most or the majority of those has been submitted and we're just in the process. Those are included in the report submitted by their adjusters.
Samir Khare: And then just the 900 million gross loss by I think you said 370 of it was paid or 390 or so what was fixed between ASES and IBNR for the rest of it?
Juan José Román: Of those we have paid around 390, so the difference is 400 maybe it will be a IBNR.
Samir Khare: Is there any portion that’s going to place reserves or?
Juan José Román: Let me get that number because we have it, I’ll see it.
Samir Khare: While you get that I will just have another follow-up. How many new claims are coming in each week or month at this point and kind of related I know in Florida there is this dynamic with respect to Irma of claims being reopened, is that a dynamic that you guys face there in Puerto Rico?
Juan José Román: There is always some, yes - there are some that are reopening that's not the - it’s not a big trend or the majority what we're seeing is not reopening. And in term of the numbers for example in July, we'll receive around 125 claims of those around 65% to 70% were our personal property claim. So the majority is really personal what we're receiving in the month of June, we received around 192 to 200. So every month I don’t have every month since Maria but since then what we are seeing is that every months we get less and less claims. And as a percentage, the majority are personal property.
Samir Khare: And if you have that case reserve number that would be great, that’s it from my question?
Juan José Román: Yes case reserve is around 430 million.
Operator: [Operator Instructions] The next question is from [Mike Cody, Lansing Capital]. Please go ahead sir.
Unidentified Analyst: Could you comment, I know there is some questions about what's causing some of the increases to the claims just besides the processing of them. Are you guys seeing any costs associated with AOB or legal claims, is that impacting it?
Bobby García: Yes, we don’t have at this point any legal claims. What we are seeing is the entry at this stage of a lot of public adjusters. And when they come in when we talked about amendments to existing claims a lot of that has to do with the more recent arrival of public adjusters to the island and with their intervention that's what has increased a lot of the gross loss reserve estimate.
Unidentified Analyst: And with publicized demographic shifts that are occurring on the island, have you guys tried to forecast how your insured lives looks like?
Bobby García: Our insured lives across the different businesses or P&C.
Unidentified Analyst: No, no I am shifted away from P&C, across the different businesses?
Bobby García: And the question is how many lives we think we will have or those total market size change in demographic?
Unidentified Analyst: It seems like there has been a large size relationships away from the island?
Bobby García: Oh I see, - so outward migration, and the question is the composition of it.
Unidentified Analyst: It seems from the number that’s hitting your commercial lines principally but I'm just curious if you guys have a thought on, I guess reports in the news of anywhere from 0.5 million to 1 million have people left. If that trend continues I would expect to see what should we expect to see maybe one to two years forward?
Bobby García: Now I understand the question better, thank you. The numbers of 500 million people is grossly exaggerated. I think you may be confusing the estimates of our migration for the last decade. What's happened is that the excess of depends on the years some are putting 50,000 to 100, 000 people per year was exacerbated by the hurricane. So the estimate is that the result of the hurricane anywhere from 150 year estimates that vary but around 150,000 people left. And some of those have actually been returning so the most recent estimate I've seen is about 125,000 people since September 20 that left the island.
Unidentified Analyst: And lastly is assignment of benefits in issue in Puerto Rico I know a lot of Florida-based insurers had significant cost increases as a result is that a concept that is present in Puerto Rico?
Bobby García: No, that's not an issue here.
Operator: The next question is from [John Wagner, 1431 Investments]. Please go ahead sir.
Unidentified Analyst: I am just trying to figure out the catastrophe, I don’t know why catastrophe losses for the entire insured losses for the island, I think it's a number that it’s around 3 billion to 4 billion is that correct. Why is that number so low versus ISO, PCS at 25 billion and the insurance commissioner now over 10 billion? Can you kind of educate me on that?
Juan José Román: There are many estimates out there right, but the latest we’re seeing in the whole island is to be between 10 billion to 12 billion is the latest number we were getting right from different sources. So I think it's adjusting right at the beginning after Maria there were numbers like 100 billion, reality is now what we are seeing is in total could be and again these are very high level. It could be between 10 to 12 out of that local companies in Puerto Rico are estimated to - the estimated for the company is between 6 billion to 8 billion. The difference between those two numbers really is insurance for multinational that are not insured by local companies like [indiscernible] and big retailers.
Unidentified Analyst: And then the delta between insurance commissioner and the gulf standard being ISO, PCS of 25 billion. How do I reconcile that to the numbers that seem to be fraction of what you guys were using better?
Bobby García: I would say - the numbers are as you are noting in a wide range. So we’re really focused on is our own numbers and that’s based actually on the models and now on a more reliable actual cases reserve data.
Unidentified Analyst: So the models weren’t reliable to you guys but were using before and now we should just kind of look towards the flow of new claims coming into get an actual?
Bobby García: Well, I wouldn’t say they were unreliable it was the most reliable source we had at the time. What happens is with information that comes in, it certainly more reliable that actual information then model projections.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Mr. Garcia for closing comments.
Bobby García: Thank you, Operator. We appreciate everyone's time and ongoing support to Triple-S. If you have any additional questions please reach out and have a wonderful morning.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.